Jim Beyer: Thank you, Darcy. Good morning, everyone and thanks for joining us for the Regis Resources December Quarter Results. In the room with me, I'm joined by our CFO, Anthony Rechichi; and our COO, Michael Holmes; and our Head of Investor Relations, Jeff Sansom. Please note, we will at times be referring to figures and diagrams in the quarterly document that we just released, so you may find it useful to have it at hand. I'd also note that the sound quality might be a little bit sketchy. We are actually on site at Duketon at the moment. So you may hear noises in the background of people doing drill work. To kick off, our safety performance saw us finish the quarter without any lost time injuries. Our 12 month moving average lost time frequency rate is sitting at 0.4, a great result. But our goal is to provide a workplace that is free from serious injury and we keep working on continuous improvement opportunities as we seek to deliver on this goal. As for the operational and financial performance, I think the numbers speak for themselves. Looking back to our messages over the last few years it hasn't changed. Our business has robust fundamentals with great leverage to the gold price. And if you understand the rolling life extension potential of our underground gold mines then you can see our assets are capable of delivering consistent ounces well into the future as we continue to build a sustainable underground capacity. Looking at this quarter and in fact over the past four quarters, the team has consistently delivered into our plan. The result of this is another solid operational performance, which when paired with record unhedged gold spot prices has delivered a fourth consecutive quarter of strong cash generation, surpassing our previous record cash and bullion build by $40 million. Operationally the quarter was similar to the prior quarter. The group produced just over 101,000 ounces of gold at an all-in sustaining cost of $2,317 an ounce and this includes $47 an ounce of non-cash costs associated with stockpile movements. The average gold price received for the quarter was $4,076 an ounce and we generated $149 million worth of cash and bullion. By these numbers our business generated a margin of nearly $1,500 per ounce produced. Now have a look at figure five in the release and you can see quite clearly the cash-generating trend of our business, which is a trend that we expect to see continue as we deliver into our full year guidance, of course, assuming that the gold price stays where it is. I don't think we're seeing anything to suggest that gold price isn't staying where it is or more the point perhaps even increasing. Now on that positive sentiment, I'll pass over to Michael and then on to Anthony who will both provide more details to the specifics of our performance.
Michael Holmes: Thanks, Jim and good morning everyone. Operationally I agree with Jim. Our teams have continued to deliver to plan and our consistency continues to remain strong, delivering on what we said we would. At Duketon our open pits and undergrounds produced 58,000 ounces at an all-in sustaining cost of $2,667 per ounce. During the quarter, we continued to mine from our Garden Well, Ben Hur, Tooheys Well and Russell's Find open pits. These were stable and performed well and produced 23,000 ounces at 1.34 grams per tonne. And our Duketon undergrounds, Garden Well South and Rosemont performed well and delivered 22,000 ounces. As we discussed in the last quarter, as a result of the persistent buoyant gold prices, we commenced the project to test our long-standing low-grade stockpiles in the north. This is an excellent example of our team's agility. However, at this point its production is not material enough to update our FY 2025 production guidance range. The Duketon mills performed to expectations and low-grade stockpile material supplemented Duketon mills throughout the quarter and this will continue for the remainder of FY 2025. Looking at our progress on the development of Rosemont Stage 3 and Garden Well Main underground projects these works are tracking to schedule and we are very pleased with the development rates and progress. Duketon is performing to plan and we are comfortable with the current FY 2025 guidance range of 220,000 to 240,000 ounces at an all-in sustaining cost of between $2,500 to $2,800 per ounce. As for Tropicana, this was a production record under Regis' ownership and a very strong quarter producing 43,000 ounces at an all-in sustaining cost of $1,773 per ounce. The open pits performed well, with persistent good ore production with higher grades of the Havana open pit particularly, within the Havana Stage 5 area. And as a result, the open pits delivered 24,200 ounces at 1.22 grams per ton and in line with expectation. The undergrounds delivered 16,000 ounces, which was again in line with expectations. We do note that Tropicana delivered a high quarterly production resulting in 80,000 ounces for the first half for FY 2025. We do still expect FY 2025 guidance at Tropicana to remain unchanged at 130,000 to 140,000 ounces at an all-in sustaining cost of $2,300 to $2,600 per ounce. As announced on the 9th of September, the Havana underground development was approved and this was commenced and is progressing during the quarter, with the project remaining on track. The Regis proportion of the capital cost allocated for this project for this financial year is approximately $6 million. The Tropicana mill performed well to expectations with no unplanned down-time and low-grade stockpile material supplemented mill throughput which will continue for the remainder of FY 2025. I will now hand over to Anthony, who will discuss the quarterly financials.
Anthony Rechichi: Thanks, Michael, and good morning everybody. As Jim mentioned earlier this has been another quarter of terrific operational performance with our gold being sold into record spot prices. We sold just over 118,000 ounces of gold during the quarter at an average price of $4,076 an ounce, receiving $482 million of gold sales revenue. These revenues resulted in operating cash flows of $215 million with $101 million from Duketon and $114 million from Tropicana. Now let's take a look at the cash and bullion movements on Figure two in the ASX announcement. We released our cash and bullion balance early in January, so you're aware of the outstanding increase figure of $149 million all up in the quarter, taking our total cash and bullion balance past $0.5 billion. Last week, we put this cash to good use, retiring our $300 million syndicated loan facility several months early. We are finalizing the establishment of a revolving credit facility at the moment, and we expect this to be wrapped up in the coming weeks. On the capital expenditure front, we spent $54 million all up. Included in that, at Duketon $23 million was spent in development and pre-production costs across the underground mines, of which $12 million relates to Garden Well Main and Rosemont Stage 3 growth capital and $6 million spent in plant and equipment. And at Tropicana, $4 million was spent on development costs at the Boston Shaker and Tropicana underground mines, $2 million of pre-production costs at the Havana underground mine; another growth project and $5 million on plant and equipment. Exploration expenditure, included in that capital expenditure amount was $14 million. At McPhillamys, we spent $2 million and Jim will give you an update on, progress there a bit later in this call. So those are the main messages on the financials, and back to you Jim.
Jim Beyer: Thanks Anthony, and Michael. Now, shifting to growth and exploration, during the quarter, we released our biannual exploration update. And as you will have seen our exploration team has been very busy, as we continue to demonstrate extensions of known mineralization across our portfolio. We are confident that the drill bit will provide ongoing growth, particularly in the underground. A good case in point is the drilling at Ben Hur which has highlighted underground potential to the point that we've now established an exploration target there of 300,000 to 550,000 ounces. We consider that should drilling continue to be successful this could become our fourth underground mine. At Garden Well and Rosemont infill drilling is extending known mineralization, increasing our confidence in what is there and also demonstrating the near-term growth at each of these sites. At Tooheys Well, mineralization has been demonstrated to continue down plunge from the pit where we will now undertake further drilling to test this opportunity. In terms of surface opportunities, surface pit mining, Kintyre and another Gloster cutback are shaping up as potential additional open pit prospects. Across the Tropicana, the exploration story is very similar. The more we drill within the underground, the more we find, nice formula. Boston Shaker continues to present impressive widths and grades, extending the limits of mineralization deeper. At the Tropicana underground area, drilling has also identified extension potential both at depth and laterally. Interestingly, follow-up drilling at the Cobbler Underground Target has also intersected more mineralization, which is very encouraging for an area with no historic drilling activity. And then from an open pit perspective, the Tropicana team has been active, exploring to the north with encouraging intersections that will be the subject of follow-up drilling in the future. So, what does this all mean? Well, for Regis and our shareholders, it provides us with increasing confidence in our ability to deliver on our plans for longer term life extension. At Duketon, this involves establishing four underground mines and operating them in a way to sustainably deliver 200,000 to 250,000 ounces per annum into the future. At Tropicana, this involves continuing to deliver life extensions of the existing underground and potentially open pit with a real bonus of some very early indicators of potentially completely new underground production areas. This is a good reminder that while some might currently value us primarily on reserves, our exploration drilling successes continues to provide us with confidence that our undergrounds will continue to grow in value. McPhillamys, well, I don't have to say -- I don't have a lot to say there that hasn't already been said, but the two key points of note are that we certainly continue the process of the legal challenge of the Section 10 outcome and also that we have commenced the long process of developing an alternative tailings storage solution. This is a process we still feel could take a number of years to fully assess and make a final decision. So, with this in mind, let's turn to our cash and what we'll do with it. Well, as Anthony talked about, we are now debt-free. Regis is unhedged with no debt. It feels great to say it's actually the first time since we started production back in 2010 that we've been in this situation. I also note that we were well advanced in negotiations for establishing a revolving credit facility as Anthony mentioned. And once established, this will provide ongoing flexibility and additional liquidity. In terms of the use of this increase in cash, last quarter we stated that our options included debt repayment, internal growth, M&A, and returns to shareholders. Now, we paid off our debt and what remains is growth and returns to shareholders. So, firstly, we'll continue to allocate funds across sensible internal growth options, some of which we've touched. We are now also in a position where we've got more flexibility to pursue inorganic growth options, and of course there is also the consideration of the returns to shareholders. Our approach will be disciplined and we'll do what is in the best interest of our shareholders and we will continue to build long-term value in the company. So, to summarize, production in line with expectations. Cash generation capacity was once -- our cash generation capacity was once again demonstrated with $149 million build quarter-on-quarter. We progressed the development of our underground growth projects that are both on track. Exploration continues to highlight the near-term growth opportunities embedded across our portfolio. And after the end of the quarter, we snuck in the repayment of the $300 million of debt from our existing cash reserves. Looking to the future, the immediate actions and focus for the Regis team are to continue to grow the balance sheet strength with on-plan operational delivery, continue to deliver in our underground growth strategy by building on our exploration success to identify new approvable underground mining areas at Duketon, complete the establishment of the revolving credit facility, pursue all legal options to challenge the Section 10 outcome, continue the long process of developing alternative tailings storage at McPhillamys and leveraging our strengthening balance sheet and strong internal professional skill sets to evaluate options for the next stage of value-driven growth. The team here at Regis should be very proud of what they've achieved over the recent years. This effort is now delivering and resulting in the strong financial outcomes that are now being delivered. So now I'll hand over back to Darcy for Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from Levi Spry from UBS. Please go ahead.
Jim Beyer: Hi, Levi.
Levi Spry: Hi. Good morning, Jim and team and Happy New Year. Thanks for your time today. I don't want to be too greedy, but I've actually got a few questions today. So jump straight into production I guess. Can you just maybe talk us through the half-on-half trends across both production centers? Maybe start with Trops. So why will -- why haven't you upgraded guidance there? What's the driver of potentially weaker production in the second half? Is it grade related? And maybe at Duketon can you give us a little bit more detail on what's happening at Duketon North? I know you say it's not material but just trying to understand how we think about the trend there?
Jim Beyer: Yes. Well, look, I mean there's detail but the high-level picture at Tropicana is the end of their financial year is the December quarter. It was a very strong quarter. And it's pretty -- as is somewhat we've seen in these cycles the following quarter tends to be a bit of a slower one as ounces get dragged around from one year to the next. So we're seeing that in the profile. And basically I think that's crystal clear as to why Michael pointed out that it was a strong first half, but we're still maintaining our guidance because that's what we're expecting to see. There's detail behind that on different elements of what pit and what we're mining where and why. But the reality is that we had a strong quarter because timing of production was -- decisions on timing of production was a conscious one and we see the outcomes of that. Duketon and Duketon North, I think, our position there is as we said at this point we don't see it being material enough to warrant shifting our guidance. So we're holding our guidance steady. And obviously we'll review that and we'll see how that's looking in the next quarter but that's where we've left it for now.
Levi Spry: Okay. Thank you. And just on underground mining I think I've asked before but can we get a bit more clarity on your underground mining costs as that's becoming a bigger part of the business? Can you give us some rates for the two hubs?
Jim Beyer: Look I think generally what we like to say is that our undergrounds are pretty similar in nature. Sure Rosemont might be at times a little higher grade, but it's a narrower vein and Garden Well is maybe slightly lower. But broadly speaking the costs are fairly similar. So once the capital establishment is out of the way like at Garden Well Main there isn't anything to suggest that the cost at the high level as in per ounce is going to be anything materially different from what we've said that's basically as much guidance and detail as I think we need to provide at this point in time. Otherwise we -- we can -- we disappear into the minutiae, Levi.
Levi Spry: Okay. All right. Thanks. CapEx. So CapEx half-on-half sort of trends. Can you talk to that? It seemed a bit light in the first half versus guidance.
Jim Beyer: Yes. Good point. You'll note that we haven't changed guidance. So clearly there is a weighting in the second half. Michael, do you want to talk through what's driving that?
Michael Holmes: Yes. Hi, Levi, it's Michael Holmes. It's mainly around timing and scheduling and particularly the majority of the capital that we've got there is the growth capital of the underground. So getting the equipment on site we've got sort of the raise bores that are currently being drilled. So we have four large raise bore holes. We have four fans and the development with every sort of new project as you start development off, you start with single headings, and then you just multiply those headings as you're going further through the project. So there will be an increase in the capital based on the increasing of the development that we have got to do as well as the infrastructure that we're putting into the project. It's just timing and schedule.
Levi Spry: Yes. Got it. Thank you. Yes, nice one. And have you given us any D&A guidance at all?
Jim Beyer: Anthony?
Anthony Rechichi : Levi, it's Anthony. No look so similar to last quarter, I remember we were answering a few questions on this as well. Look we're expecting to stay at similar levels, but what you can see on Table 1 there at the moment. Year-to-date we've got $1,090 an ounce there. We expect for it to come off slightly, but remain at similar levels for the year.
Levi Spry: Okay. Thanks, Anthony. And I'll squeeze one more in. So, I mean, the big one is returns. How is the thinking maturing around this? So revolving credit facility how big? How do you think about sizing it? How is the Board and you thinking about potentially the returns with this -- with the interim? How is the thinking around that matured I guess? Just can you give us a bit more of an update rather than just that list of four elements?
Jim Beyer: Sure. Well I'll give you an update as much as it's appropriate for me to give you an update, because the Board has made no decision on this at all. So, nothing -- your questions are the revolving credit is definitely something that's an important part of giving us that flexibility and liquidity. We'll -- once we finalize it, we'll let the market know what scale that's at. I have to say, as Anthony mentioned, it was certainly nice having $0.5 billion plus on our balance sheet. So -- but I think we've done the right thing there and certainly paying down the debt. The -- really I guess the key question is, what does returns to shareholders mean. And there's no doubt we're in a strong cash-generating position and profitability is okay, where there's a capacity there. I would point out we don't have any franking credits remaining. So that's just one element of it not that that's what a decision turns on, but that's an element that considers. The Board is considering what the options are and how we might approach that. Obviously, we've got some thinking to do, as we approach the half year results whether that's an appropriate time or whether the full year results is a more appropriate time to consider any form of dividend there is probably something to give some thought to. So, look, Levi, good question. All I can answer you is the way I've said it, I can't say much more than that. But it's safe to say that it's definitely on the agenda of discussion. But it's got to factor into a number of other things that we're looking at too.
Levi Spry: Yes. Okay. And last one. So are you paying some cash tax this half?
Jim Beyer: I think that's still something that we're working over. Anthony, you want to give some more color on that?
Levi Spry: Okay.
Anthony Rechichi : I mean, we have -- Levi, you've seen the financials for 30 June, 2024. We had some considerable tax losses available to us there. Obviously, we're profitable at the moment. Everyone should expect that with the gold prices that we're getting. So, we'll get through those tax losses earlier than we did at the gold prices that we saw six months ago. Don't necessarily expect to be paying any cash payments this financial year. But at these gold prices we hit those losses quicker than we might have otherwise.
Levi Spry: Nice one. Thanks and sorry to be so greedy, but well done. Thanks.
Anthony Rechichi : Thanks, Levi.
Operator: Thank you. Your next question comes from Kate McCutcheon from Citi. Please go ahead.
Jim Beyer: Good morning.
Kate McCutcheon: Hi, Jim. Hi, morning. I think everyone has what to do with the cash question. At Duketon, just the comments that mining continues from the pit through 2025. Can you just clarify I thought that the pit wound down in 2026 and ended in mid-FY 2027-ish. How should we think about those open cuts there currently? And a reminder on how to think about the underground volumes when the other undergrounds come on? What does that ramp-up look like in million term tonnes over the next couple of years?
Jim Beyer: Yes. Our position hasn't changed. If you look at our -- and it's not on the -- on this material but if you look at our most recent presentation, we show -- we're anticipating a range of production from Duketon North between 200,000 ounces and 250,000 ounces out to around about FY 2028, and that's a combination of both underground and open pits with the open pits obviously depending on what we bring in starting to trail off. Our target and our objective is to get those -- the fourth mine running from a production point of view out beyond that so that we can sustain that from purely from underground. But at the moment, there's still -- I mean our production comes from a combination of underground open pits and stockpiles. And that's the way we see it running in that combination out to FY 2028. Now obviously it's not dead flat. There's some years it's low some years it's high. That's why we provide a range.
Kate McCutcheon: Okay. And then as well the low-grade stockpile project that you're putting through the mill at Duketon North, just remind me how you're thinking about that in terms of how material it could be? And when can we expect an update?
Jim Beyer: Well, I think as Michael said, it's going well but those grades are pretty low. We see them contributing to our production but the numbers aren't material to warrant a change in our guidance range. And that's basically why we haven't changed it. So we'll sit on that. The project has been running for a while. We'll have another look at it. It's -- yes, and it's not something that at the moment we expect to run out into future years. This is -- I think it's about an eight-month project actually from start to finish. So that's really why Michael's point it's not material enough. But it's -- the team is doing a great job just making it work.
Kate McCutcheon: Okay. And then maybe just a quick question for Anthony. Coming into your financials, are there any exceptionals or anything to call out?
Anthony Rechichi: No, Kate. I mean it was after the half year but we paid out our debt. It's the biggest cleanup you see on the balance sheet. Besides that you can see things tracking pretty good on the production front, so nothing untoward there. Obviously that's going well. Gold price is high. You guys know what the average has been over the last six months and we're unhedged. So outside of that, we're not seeing unusual transactions, if that's what you're sort of getting at.
Kate McCutcheon: Okay. Thank you.
Operator: Thank you. Your next question comes from Meredith Schwarz from Bank of America. Please go ahead.
Meredith Schwarz: Good morning, Jim and team. If I could just ask a question on Duketon and the CapEx spend. So Michael went through and sort of mentioned that the raise bore is on site and that's where the -- predominantly the amount of CapEx would come from in the second half. Can you give an idea of whether that raise bore has started now, what your likely start time is? And then if there's potentially any risk for that CapEx to go to FY 2026?
Michael Holmes: Look, Meredith, it's Michael again. So when you -- it's not just the raise bore. We've got two raise bores, one at Garden Well and one at Rosemont at the moment, and they're basically doing two holes each. On top of the raise bore, there's going to be two large exhaust fans and that will set us up for the projects that we have the Garden Well Main project, Rosemont Stage 3 and possibly Rosemont Stage 4. The main spend is as we sort of develop a mine, you start off with a single heading and then you just -- you expand the mine with the decline and then all the multiple headings off that. So, the majority of the spend will be for opening up the project. But the project capital continues. So the big spend then comes and then you sort of then continue with the decline development as we extend the mine further down. So the capital profile will continue for these projects. There is another spend as well which is the paste fill plant that we're going to put at the Garden Well mine as well. So from our initial announcements, there was about $80 million at Garden Well and about I think $55 million -- $50 million to $60 million at Rosemont. You'll have that sort of ramping up spend through the second half of this year and next year and then sort of it then sort of continues to a steady state sort of once the infrastructure is in place and the development and all the headings go it then comes down to a steady state sort of spend year-on-year, as we extend the mine further down into the depths of the underground.
Meredith Schwarz: Okay. So Q4 CapEx to be higher than Q3 over the second half. Okay. Perfect.
Michael Holmes: As is, yes.
Meredith Schwarz: Yes. And second question...
Jim Beyer: Sorry, Meredith, just to be clear, we don't give guidance on a quarter-by-quarter basis. But what you can surmise from it is that the second half is certainly going to be stronger. And the reality is the raise bore bench shafts are enablers for us to really get into the development. So it's as simple as ramping up. Yes it's ramping up.
Meredith Schwarz: Yes, yes. Absolutely. And then the second question on Duketon North. I understand, it's not material as you say. But are you able to give a bit of a guide as to potentially how many tonnes you're looking to push through from Duketon North? Just trying to get a feel for perhaps what the percentage breakdown is in terms of that ore processed. So you hit the 2 million tonnes in the quarter. What sort of percentage was from the Duketon North?
Jim Beyer: Well the Duketon North mill is a couple -- has got basically a couple of million tonnes per annum of capacity. The stockpiles are going to last in this form of the project is about eight months. I can't remember what the...
Michael Holmes: Start to finish. So it's about six months of milling.
Anthony Rechichi: It's about six months...
Michael Holmes: Half of it.
Jim Beyer: Grades a bit less than 5% -- 0.5% that'll be -- 0.5 grams. So that's -- it's -- when it runs it's good. The guys have really gone and done a great job in finding opportunities there which every million dollars helps. But in terms of the overall scale, we don't see it as being material at this point. It will give us an indication of what we think some of the other -- we've got other low-grade stockpiles but they're even lower grade. So whether they turn into something you see how successful and how well we manage recoveries at these low grades that we're seeing because that's the real trick. Recoveries tend to be driven by the grade of the tailings and the lower the grade of the feed. Yes.
Meredith Schwarz: Perfect. Thanks for the clarity, I’ll hand it over.
Jim Beyer: Thanks, Meredith.
Operator: Your next question comes from Alex Barkley from RBC. Please go ahead.
Alex Barkley: Thanks. Good morning, everyone. A question about Tropicana and noted that AngloGold probably just had a good Q4. The mining ore volumes were up a bit in that quarter, strip ratio down. Is that something we might expect to continue over the next few quarters? Is that a function of Havana just getting up and running? Or was that again maybe just a very strong quarter there? Just an idea on the ore mining over the next period would be helpful. Thanks.
Jim Beyer: Sure, Alex. It's sort of your question is a good question and it relates to the ebb and flow of the schedules that the guys have got there, right? Duketon was a [indiscernible] December was a very strong quarter at Tropicana. In fact, it was a record quarter since we've had ownership of it. It was the end of their financial year. And as we know last quarters of everybody's financial years tend to -- you do what you can. And so I think when we watch this and see ounces part of that performance will be the timing of ounces that may have originally been planned for this quarter were pulled forward over a year. We're okay with that. But what that means is that we expect the second half. If you take the number I think it was -- Michael was saying in his notes that, I think we've got about 80,000 ounces out of Trop for the first half of the year, keeping in mind that that's their second half, so they run hard at the end to get their numbers. We're seeing 80,000 for our first half but we are still maintaining the guidance of -- I think it's 130,000 to 140,000. So if you do the math, it's obviously going to be a softer second half.
Alex Barkley: Is that currently like…
Jim Beyer: Scheduling of the pit. They bring the ounces, they bring ore in from different places. They're just adjusting their schedules in the short-term to deliver the improved December quarter. Now they'll be swinging back and going -- doing some more waste movement. And we'll see it all -- from quarter-to-quarter you see these variations but it will smooth out over the year.
Michael Holmes: Yeah. Alex, it's Michael. It's just -- it's basically a function of the stages they're working in. And so one of the big things that we're focusing on with Havana Stage 5, which is basically the majority of the ore. So the strip ratio there, there's hardly waste coming out with that. So they're focusing on that in the final quarter. They will now be moving into and bringing down Havana 6 as a cutback, which basically links up with Havana Stage 5 and then Havana Stage 4. So the predominant of work will be in these two areas for the second half of the financial year. And so you'll see the strip ratios change as a function of the schedule.
Jim Beyer: If you're looking for how we expect it to play out, I guess, just look at our guidance, look at what we've given for production and what we've given for the all-in sustaining costs, and those remain unchanged. So if you sit down and do the math, you can figure out what the -- what the second half of the year is likely to look like relative to the first half.
Alex Barkley: Yeah. Okay. Thanks. That's very helpful. And a different kind of question about the Duketon North stockpile. It sounds like it's maybe not the most material. Just on the exploration potential there, is it not worth kind of leaving it around to maybe if you do get a discovery or a new mine kind of thing when that ramps up? Is this in any way a comment on that discovery potential that you're seeing in the region and maybe just how that's going?
Jim Beyer: It certainly is. I mean there is no reason -- we will never process stockpiles if we're not making cash. I'll say that for a start. We're not doing this practice. We're making a little bit of money. If the gold price continues to go up, then the impact might be even -- might be material from a rising gold price can make immaterial numbers material, but the team is working on that. There is -- I mean, keep in mind that we did put Duketon North into care and maintenance at the end of last year, and then we saw the opportunity and we brought it back out again. When -- not if, but when our exploration team is successful and finds an opportunity up that way, then we will swing the focus. If we're still processing low-grade stockpiles at that time, then we'll probably swing around and put higher feed from a new pit. If they aren't and we run the stockpiles down, then we'll park it up and we'll put it back into care and maintenance, and we'll wait until the exploration team give us another new pit. So we have no plans to decommission and disassemble that plant. That would just not be -- not make sense. There's too many opportunities in that part of the world to -- that it might take us six months, it might take us 18 months to find another fresh pit to go in there, but we will find something. So we'll keep that plant in good condition. And it's great at the moment. We can keep it running and use that to help keep it in good condition and make a little bit on the side as well.
Alex Barkley: Okay. Now that's helpful. Thanks very much everyone.
Jim Beyer: Thanks, Alex.
Operator: Thank you. Your next question comes from Hugo Nicolaci from Goldman Sachs. Please go ahead.
Hugo Nicolaci: Hi. Jim and team. Happy new year, and thanks for the updates. Following on earlier questions.
Jim Beyer: Thanks, Hugo, same to you.
Hugo Nicolaci: Thank you. I just wanted to dig into Levi's question earlier on the underground mining costs a little bit. Just looking at both assets, it looks like mining costs have remained elevated on a per tonne basis this quarter. And last time we touched on, obviously, the open pits as they get deeper, start to get a bit more expensive. But is there anything to call out on the underground that are driving those costs? And I guess just directionally, where do you see that moving maybe on a per tonne basis going into the second half?
Jim Beyer: We're not seeing that -- yeah, okay. So I'll break that question down a little bit. You need to keep in mind that quarter-on-quarter, we're going to see variations in the unit rates on a cost per tonne basis. In part, that can be driven by whether the scheduled development to be higher or lower. It depends on whether it's in ore development or it's in capital development. It also depends on the grades. I mean, as we've talked through over the last couple of years now about the mines, on an annualized basis, these mines can produce anything from, say, 40,000 ounces a year to 700. Now obviously, that variability that we're talking about is partly driven by just the nature of -- they're not huge. So they do tend to sort of surge and fall back and surge and fall back fairly quickly, which is why we'd like the idea of having at least four underground mines maybe even five running, because then you can smooth your production profile out. And once you smooth your production profile out you also smooth your unit costs out. Now, we'll see that as the tonnes go up we'll see the -- from the underground we'll see the unit rates drop a little bit through productivities. Over time is there anything of substance in the underground that will drive up the unit cost? I mean, there's a little bit of cost associated with increasing depth, but it is certainly not material not in the near-term, particularly when you sit down and work out what proportion of costs sort of look at relate to haulage. The best thing that we can say about what we expect our cost to look like in the second half is, we still believe that we're coming -- we haven't changed our guidance. We think our overall cost per ounce is going to stay within the range that we've guided as will our production. So we -- that's probably as much that it's useful to give on that front.
Hugo Nicolaci: No, that's helpful color. Thanks for that. And then second one also a bit of a follow-up. You touched on the dividend piece being more of a consideration for the full year result. Now, obviously you've now paid off the debt your net cash and second half cash flow outlook still looks good despite that growth spending that you've got. So, are you able to just maybe talk us through maybe a few reasons why you might wait until August on the dividend? I mean, is it any remaining uncertainty in terms of upcoming growth spend or maybe keeping some optionality if opportunities come up? Just sort of any reasons there?
Jim Beyer: Well, look, the Board will make a decision on what might be in the first half, and what might be pushed to the full year. But certainly, if you don't pay a dividend then your optionality is much more significant, particularly at a time when your cash balance is down. Obviously, that changes a bit, if the revolving credit gets resolved -- or sorry when it gets -- not resolved, but when it gets finalized and formalized. So yes I just -- as I was talking through it, they're both options. Certainly, the longer you don't do it the more liquidity the more optionality you've got, but that's the balance. That's the trade-off that we're assessing and the Board will decide.
Hugo Nicolaci: Got it. That's clear. Thanks, guys. I'll pass it on.
Operator: Thank you. Your next question comes from Matthew Frydman from MST Financial. Please go ahead.
Matthew Frydman: Sure. Thanks. Good morning, Jim and team. Can I ask about the exploration activity across the portfolio and how you expect that will feed into mine plans over time? I guess, looking forward towards a resource and reserve update probably later in the year around the middle of the year. And you've highlighted that you've got multiple underground targets that you're working through. So, can you talk through which of those you expect to see will be sufficiently advanced to maybe fall into that update in the middle of the year? And then maybe more broadly from there, can you talk about, I guess, the development life cycle of these opportunities from -- whether it's from initial drilling studies regulatory or board approvals et cetera. Is it a sort of consistent lead time, there across these various targets that you're pursuing in terms of converting them into mine plan and mine life? Or is there anything that you're confident in really fast tracking maybe particularly given the balance sheet strength of the business that you just talked to, anything where you can really accelerate the time to get that into production?
Jim Beyer: Yeah. Well, I mean, interesting, I was reading a report that online last week that said that the average time from initial discovery to production around the world is 18.3 years from the first hit to the first ounce. I think we're doing probably a little bit better than that. Look, if you look at -- I mean, you -- there is a -- having said that, there is a reasonable time difference between declaring an exploration target versus then we've got to drill it out and get it to measured and indicated status within the resource, so we can then give it a reserve. And sometimes, we did that on a pretty quick turnaround, I think, if that's the right word for it at Garden Well for Garden Well Main. But the reality of that was we've been sort of building that whole area up over the years. If I look at Ben Hur for example, that's got nothing -- no existing work that it can lean on or rely on. It's actually a picture that's being painted as we speak while we just build -- do more -- drilling holes and building confidence just takes a bit of time. We know that once we've announced FID on a project, it's usually about 14 to 18 months before something comes online as a production unit, as in production meaning stoping usually get a few ounces out as part of development. So, we've -- I think I'm just trying to remember what the exact date where we're expecting Garden Well Main to kick off with stope production.
Michael Holmes: It will be towards the end -- it will be in the first half with the kickoff of stope in the sort of first half of...
Jim Beyer: Next financial year.
Michael Holmes: Production will be in the second half of the year.
Jim Beyer: Yes. So you can -- it takes a while. You can't just -- we're talking about Ben Hur. Will we have reserves in the R&R update? I'd like to think that would be the case, but I'm not sure whether we will because it's -- you got to drill -- there's a lot of holes that are required to go from exploration target to measured and indicated resource. The R&R update will come out in the June quarter. And that's where we'll give the -- you'll certainly be able to see what's trending in the short term from R&R replacement from our underground. Look, the timing of these things, if Ben Hur was successful it's at least a couple of years out just by the time it takes another year of drilling I suspect at least if it's there and then we've got to finalize it and then we've got to approve it and start development. I don't see anything immediate on the regulatory front that is holding that up. There is always the usual things that we have to work through in terms of heritage clearance and the like, but undergrounds tend to be a little bit easier on that front by and large. So, yes, look I can't give you any more -- it's a good broad-ranging question you asked Matthew. But in terms of specifics, there's not a lot I can give you really.
Matthew Frydman: Yes. No, that's helpful, Jim. I guess yes, just trying to get a picture philosophically on kind of how the business is treating these opportunities. And not saying that one approach is right and one approach is wrong, but potentially if there was something that you had high confidence in you could just bang an exploration decline and go from there, right? And maybe something like a Tooheys Well, where you've already had open pit mining there and maybe you've got a bit more drill data or something and potentially you could take that kind of approach. But it sounds like, that's not the case and it's really more about this methodical approach of getting the drill data doing the studies, going to a financial investment decision, et cetera. As I say it's not saying one approach is right and one approach is wrong, but that sounds like philosophically where you're at.
Jim Beyer: Yes. Look, I mean I'd come back to our -- what I was talking to. I'm not sure I think it was Meredith's question or I'm not sure who asked the question earlier, but it was about what do we look like out to FY '28 and beyond. We're comfortable that we can see this range that we've been talking about, but we need to have another underground or even more open pits to help us maintain this 200 to 250 out beyond FY '28. And so that's -- we sort of have a look and say, well that's how long we've got to find more material, which is actually quite a bit of time. And by the way that range out to FY '28 that I'm talking about doesn't include things like Ben Hur. It's just the existing -- basically the existing reserves and plans that we've got in our existing mines that we've already told the market about. So we don't have any sort of hairy assumptions sitting in that if you like. So our first exploration budget this year across the group is $25 million to $30 million and a chunk of that is focused on chasing the Ben Hur, chasing the Tooheys Well, chasing the Baneygos, looking underneath all our old or existing pits. And a chunk of that -- and then of course exactly the same thing is happening at Tropicana. And a chunk of that is more greenfield-ish where we're -- or brownfields where we're looking for open pits to add like Kintyre which are not huge, but they all help particularly at today's gold price, while the team is really focused on finding the next 400,000 500,000 ounce deposit that can -- that would mean overall production at Tropicana at Duketon would lift back to where it was back in 4 5 years ago at that plus well over 300,000. But we've got to find the deposit -- open pit deposit to give us that -- so we've really got two strategies running. Let's find and get at least a fourth underground to give us that sustainability out beyond FY 2028. And also let's keep looking for the whale that open pit that gives us the potential and would give us the capacity to get back well over 300,000 again as a site and that's at Duketon. That's the plan we're running to.
Matthew Frydman: Yeah. Got it. Thanks, Jim. And then maybe I guess tying that in conceptually with I guess you've had quite a few questions on shareholder returns and what does the balance sheet look like and all that sort of stuff. Obviously the reserve position and the mine life position on paper clearly influenced the Board's thinking and management's thinking in terms of the capacity for shareholder returns versus I guess what you might need for investment in the future. So, I guess, from your perspective where do you think the cash balance or where do you think the balance sheet needs to sit in order to have enough comfort in maybe progressing those internal opportunities that are maybe more well-understood and more clearly defined versus – is that the, kind of, threshold for where you want the balance sheet to be? Or is it that you need more dry powder sitting there if there is an M&A opportunity on the horizon? Or, yeah, I guess what's the default setting for the business in terms of prosecuting those growth options versus potential capital needs in the future?
Jim Beyer: I don't think that there's any -- it's – yes, all of the above. We certainly want to keep our balance sheet strong and give us the potential to act on external growth opportunities as they arise. I mean, obviously, McPhillamys was a substantial project for us that was coming towards us. We've always said that we would develop it when we were ready. I guess, the markets perhaps didn't believe that. But to a degree now it's out of our hands either way. So I mean McPhillamys was a big project right? In its current form it's $1 billion of construction. But as I've said to a few people if McPhillamys was running today and running at an average production rate and its average all-in sustaining cost, it would be generating, I think the number was -- well I'm just trying to remember over $100 million a quarter, right? And that was when the gold price was back at $4,100 because I think the average production rate out of McPhillamys is about 180,000 ounces and the average all-in sustaining cost is about AUD1,600 an ounce. You can do the math. If it was producing today, it would be overshadowing everything in its cash generating. So it's not a bad project particularly with in the current price environment, but it's not on our immediate radar but we're looking at other options. So, yeah, we definitely -- there's definitely a reason why we would want to keep our powder dry. But the converse of that is the idea of being a business is to make some returns to our shareholders and that takes the form of dividends. So that's definitely part of it. I mean, I'm telling you how we're thinking, but I'm not telling you what we're thinking.
Matthew Frydman: Yes, no, that’s fine. Thanks very much, Jim.
Operator: Thank you. Your next question comes from Andrew Bowler from Macquarie. Please go ahead.
Andrew Bowler: Yeah, Jim and team, probably not too many more questions to ask. But maybe one for Anthony. Your all-in sustaining cost guidance for the year includes that approximate $150 an ounce in non-cash stockpile moves. Just wondering if that number changes with processing in Duketon North? Or are those historic stockpiles off-balance sheet and that number won't really change a lot? Obviously, keeping in mind that you're tracking under that for the first half.
Anthony Rechichi: No. Yes, Andrew, you're right on predicting that those stockpiles that are going through at Duketon North, they are old historic stockpiles that we've already taken all of the hit for in the past. So they're not coming through at any additional cost. So, was that all of the question or...
A – Jim Beyer: I think that was it.
Anthony Rechichi: Guidance remains the same on the cost. Yes, that's right, yes. So the Duketon North stuff is not a huge amount coming through from it. But nonetheless, we've previously worn those stockpiles. They go back however, long to be honest, yes.
Andrew Bowler: No worries. Thanks very much. That’s all for me.
Anthony Rechichi: Yes. Thanks.
Operator: Thank you. Your next question comes from Hayden Bairstow from Argonaut. Please go ahead.
Q – Hayden Bairstow: Yes Good morning. Just a clarification on D&A. I mean it ran at around $830, an ounce for the last couple of years. It's now sort of around $1,100. Is that sort of run rate? Looks as though that's probably right based on where the book value is for the rest of the life of these assets as they sit on reserves.
A – Jim Beyer: Yes. Anthony, do you want to put some color on that one, to Hayden?
Anthony Rechichi: Yes. I mean, you're saying historically, Hayden, you're saying, it was running around the $800 all-in sustaining cost for Duketon North. That's what you're saying?
Q – Hayden Bairstow: No, D&A – saying I was.
Anthony Rechichi: Sorry, D&A. You're talking about...
Q – Hayden Bairstow: You said, $1,100.
Anthony Rechichi: D&O Duketon North operations D&O, sorry. No look -- so the D&A yes, look it is continuing to still run around that. Like I said, year-to-date, the $1,090 we're expecting it to come off a little bit by the end of the financial year. Look, there are a couple of big things that you sort of historically -- I think historically, you're talking about last year, I think it was in that $800 mark there or thereabouts. $800 or $900. I can't have the exact number now. But look, one of the key differences this year is that we've got Ben Hur and Russell's Find open pits that are being amortized into that cost over a relatively short period of time in the financial year. In the prior financial year, we didn't have those two areas in production and being amortized in our accounts, really for a lot of the financial year in the 2024 financial year as a comparative. So sure, a couple of mining areas did drop off last year, that aren't being amortized this year, but they also didn't have the same amount of accumulated pre-production mining costs that needed to go with them. So, hence, why it sort of steps up from one year to the next. So, that's not just at Duketon. There's some at Tropicana too, but I just called out the sort of two big ones that are contributing as well, which is the Russell's Find and Ben Hur. So, yes, expectations are continue on for the rest of the year at similar values.
Q – Hayden Bairstow: Okay. Can I just circle back on tax. Can you just remind me where you are now on that? What's the show to left? And when do you pay cash tax?
Anthony Rechichi: Yes. So, if you go take a look at our June 2024 financials there, Hayden. And you'll see there we've got in the order of about $230 million of gross tax losses. It's about $70 million of tax affected when you take it at 30% of cash offsets there. As I was saying earlier in the call at these gold prices we're obviously chewing through those tax losses a bit quicker than we were thinking we would have six months ago or so. But nonetheless still not expecting to actually be cutting a check this financial year. We're obviously profitable. Production is good. Our costs are within guidance and the revenue is strong from the record gold prices, but still don't expect that this year we'll be cutting a check. We'll be using those tax losses.
Jim Beyer: Holly dependent on what if any alternative directions the gold price takes. Sure. Yes.
Hayden Bairstow: Yes. Just going up Jim you know that -- and just on your comments on McPhillamys, I mean, gold prices have shifted a lot even since when you did the study. Do you think that base development plan is still the best one? Or is there other options that you had looked at that you didn't pick that would give you a pathway to a lower CapEx faster to production type development scenario?
Jim Beyer: Yes. Look that's a damn good question Hayden. We are looking at that. It's an interesting project in that one of its strengths was the fact that it was completely independent from a water point of view. It did not draw on local Belubula River or any of the local groundwater. And we still have a plan of bringing the water in from the coal mines over in Lithgow of trying to get rid of the water which is great. But the downside of that is that we've got to build a $160 million pipeline. And whether that pipeline is 12 inches, 6 inches or whatever size it is the actual cost is probably not going to change that much. So you do tend to -- at the moment with its current configuration it does tend to sort of drive it to being as big as it reasonably can. And that's been the historic driver of the scale. But having said that now we're going back and we're actually using some alternative -- well some more sophisticated approaches just to check that we're satisfied that there isn't an alternative approach to take. We do that -- take the opportunity while we can. Whether that changes materially the scope or not that remains to be seen. But we're looking at it. But at the moment the current scale still is -- as far as we're concerned is still the most sensible development structure for it. But we'll know in a six months' time or so or even less than that whether there's other opportunities. And obviously if we do spot that then we'll let the market know.
Hayden Bairstow: Okay. Perfect. I will leave it there. Thanks, guys.
Jim Beyer: Thanks, Hayden.
Operator: Thank you. There are no further questions at this time. I'll now hand back to Mr. Beyer for closing remarks.
Jim Beyer: All right. Thanks, Darcy. And thanks everybody for joining us. As always could you -- if you've got any follow-up questions please touch base and we'll do what we can to help you out. Thanks very much and have a good day.